Operator: Greetings. Welcome to the Eagle Point Income Company Third Quarter 2020 Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  Please note this conference is being recorded. I would now turn the conference over to your host, Garrett Edson of ICR. You may begin.
Garrett Edson: Thank you, Shaumally, and good morning. Before we begin our formal remarks, we need to remind everyone that the matters discussed on this call include forward-looking statements or projected financial information that involve risks and uncertainties that may cause the company’s actual results to differ materially from those projected in such forward-looking statements and projected financial information.
Tom Majewski: Great. Thank you, Garrett. And welcome everyone to Eagle Point Income Company’s third quarter earnings call. We appreciate your interest in Eagle Point Income Company or EIC. If you haven’t done so already, we invite you to download our investor presentation from our website at www.eaglepointincome.com, which I will refer to in a portion of my remarks. On the call, I’ll provide some high level commentary on the third quarter and recent activity. Ken will walk us through the financials and then we’ll open the call to your question. What a difference a few months have made. Certainly back in March, we were facing some of the greatest crises we’d experienced in the form of a pandemic, uncertainties were abound, some suggested markets were dangerously close to experiencing a large spike in corporate defaults. However, the worst case scenarios for credit that some predicted back in March certainly have not materialized. The Credit Suisse Leveraged Loan Index is now positive for the year and many bank research desks are reducing their near-term default projections. While COVID cases are on the rise again, the mortality rate appears to have declined. Thanks in part to generous policies from Washington and around the world, the economies have stabilized and are again growing in many cases. We aren’t out of the woods by any stretch, but it certainly feels that the most dire outlooks may have been overblown.
Ken Onorio: Thanks, Tom. For the third quarter of 2020, the company recorded net investment income of approximately $1.7 million or $0.28 per share with no meaningful gains or losses. When unrealized portfolio appreciation is included for the third quarter, the company recorded GAAP net income of approximately $6.9 million or $1.13 per share. Please note, our short-term cash flow generation is largely unaffected by unrealized changes in the fair value that we record in any given quarter. The company’s third quarter net income was comprised of total investment income of $2.5 million and unrealized mark-to-market gains on investments of $5.2 million, partially offset by expenses of $2.8 million. As of October 31st, net of pending investment transaction -- transactions, the company has approximately $19.3 million of cash and revolver capacity available for investment. As of September 30th, the company’s net asset value was approximately $91 million or $14.84 per share, which is $0.70 per share higher than our net asset value at June 30th. Management’s unaudited estimate of the company’s NAV as of October 31st was between $14.66 and $14.70 per share. During the quarter, we paid three regular monthly distributions of $0.08 per share and declared monthly distributions for the fourth quarter in the same amount. Additionally, this past Friday, we declared monthly distributions for the first three months of 2021, also at $0.08 per share. As one of the requirements to maintain its ability to be taxed as a regulated investment company, the company is required to pay distributions to holders of its stock in an amount equal to substantially all of its taxable income within one year of its tax year end. On October 30th, the company paid its second of two special distributions of $0.19 per share related to the 2019 tax year. I will now turn the call back over to Tom.
Tom Majewski: Great. Thank you, Ken. We’re certainly very pleased with our portfolios continued cash flow generation and the appreciation during the third quarter. We comfortably out earned our distributions for the quarter and that momentum has continued into October. 100% of our CLO debt and equity holdings which were scheduled to make payments in October did so, we have plenty of liquidity to capitalize where we see opportunities. We thank you for your time and interest in Eagle Point Income Company. Now Ken and I will open the call to questions if there are any.
Operator: 
 :
 :
Operator: And it seems we have no questions at the moment. Therefore we will return to management for any closing remarks.
Tom Majewski : Great. Thank you very much. We appreciate everyone dialing in this morning to hear about Eagle Point Income Company’s third quarter and we appreciate your continued interest and support of the company. Thank you.
Operator: This concludes today’s conference and you may disconnect your lines at this time. Thank you for your participation.